Operator: Good morning, ladies and gentlemen. Welcome to BCE's Third Quarter 2014 Results Conference Call. I would now like to turn the meeting over to Mr. Thane Fotopoulos. Please go ahead.
Thane Fotopoulos: Thank you, Wayne and good morning to everyone on the call and webcast. We me here today as usual are George Cope, Bell's President and CEO, as well as Siim Vanaselja, our CFO. We released our third quarter results earlier this morning. All the usual information including the news release as well as the slide presentation for this call are available on the BCE Web site. However, before we begin I would like to mention that today's presentation remarks by both George and Siim will contain forward-looking statements that represent our expectations as of today and accordingly are subject to change. We do not undertake any obligation to update any forward-looking statement, except as may be required by Canadian securities laws. A number of assumptions were made by us in preparing these forward-looking statements which are subject to risks. Results may differ materially. Except as may be required by Canadian securities laws, we do not undertake any obligation to update or revise any forward-looking statement. For additional information on such risks and assumptions, please consult BCE's 2013 Annual MD&A as updated in our Q1, Q2 and Q3 2014 MD&As, as well as in our news release dated November 6, 2014, announcing our results for the third quarter. All of these are filed with the Canadian Securities Commission and with the SEC and also available on our corporate Web site. So with that, George, over to you.
George Cope: Great. Good morning, everyone. Thanks, Thane. Thanks everyone for joining us. BCE had an excellent quarter. I am pleased to report that Bell achieved the best combination of financial results and market share results in over a decade. Clearly, the long-term focus on our six strategic imperatives is driving results and paying dividends for our shareholders. Bell adjusted EBITDA growth of 3.4% and margin expansion to 39% drove 10.7% adjusted EPS growth. Accelerating wireless revenue growth and improving market share results versus our largest wireless competitor produced industry-leading double-digit EBITDA growth at Bell Mobility. However, most importantly in the quarter was the strong broadband market share performance which combined with cost management produced positive wireline EBITDA, one quarter ahead of our own internal expectations. Bell Media continued to grow market share all though financial results are clearly beginning to be impacted by the higher content cost. The strong overall financial results combined with the Bell Aliant synergies places the company in an excellent position to continue our consistent dividend growth story in 2015. Let's take a closer look at the wireless results on Slide 5. I am very pleased with the 91,000 postpaid net add additions, as I mentioned versus our largest wireless competitor. Very strong quarter from an ARPU perspective, up an industry leading 5.9%. And really what is driving that is the increased usage we're seeing on wireless devices that have converted from HSPA two LTE. We are in fact seeing a 52% increase in customer uses of data for those clients that have migrated from HSPA to LTE and the positive for investors is, only 40% of our base today have converted to LTE so clearly that migration will help revenue growth over time. Also we think adding to our performance was in the middle of August when we through some spectrum aggregation increased the LTE speeds on our network by up to 45% across the entire country. And that increasing speed through the aggregation method that we pursued, allowed for all current LTE devices to enjoy that additional speed versus our largest competitor who launched something similar but only works on new LTE products. I think it positions us for increased usage across our current LTE base. Also industry wide, there was a recent report again confirming that the Canadian wireless industry beats both the U.S. and UK in speed and reliability and once again from another source confirming that Canadians do have access to the best wireless networks in the world. Turning to Slide 6. We had a very strong quarter on the residential side with positive RGU growth in the quarter driven by excellent Internet additions of 50,000, 62,000 Fibe TV additions and a significant reduction in our loss of local access lines of 26.8% year-over-year. In fact we continue to see a slowing in NAS losses on the consumer side from the pull-through of Fibe TV. So this strategy continues. Expand the Fibe TV footprint, move the network closer and closer to the home and putting fiber to locations where it's cost effective. And the expansion of that footprint, as I mentioned every quarter, any market we launch we turn positive RGUs and as a result we have enough footprint now that you can see in the quarter. We are positive in the quarter and of course helped by the seasonality of the back-to-school marketplace. Turning to Slide 7. Very pleased with the Bell Aliant transactions closed. It increased our broadband growth, scale and operating efficiencies and that could be seen by the significant net add numbers when you take the two organizations in the quarter. 75,000 IPTV net adds and 64,000 Internet ads are big numbers in the Canadian market place and the scale of the broadband business we think will be important going forward. Also for those that may not recall, Bell Alliant did have a small regional wireless operation that will be rolled into Bell Mobility. It does add 123,000 postpaid customers, $80 million in service revenue, on par ARPU with our business, but will again add to our EBITDA growth on EBITDA margins in the wireless side next year, although small. The combination of Bell and Bell Aliant by the end of this year will have 6 million homes covered with IPTV footprint. Because of the leadership of Karen in Bell Aliant's territory with fiber, 2 million of the 6 million homes will have fiber already to them as we continue to market IPTV. Another benefit to remind investors of the integration and acquisition is the improved efficiency of capital spend allocations. I mentioned it before, we won't be investing in duplicate billing systems going forward and also we will optimize where we direct our capital for fiber. In some markets we have very strong satellite market share, in those markets we won't be accelerating the fiber builds at the pace we would be in markets where the cable operator has strong market share. And finally, we are well on track to exceed our $100 million in combined pretax annual OpEx and CapEx synergies in 2015. I think strategically, I just want to mention to investors that we now have over 3,250,000 Internet customers. We think this will be strategically important in the OTT world. Particularly if certain content providers make a decision to not distribute their content to all broadband customers, we think that model gets challenging because you don't have access to everyone in the country and particularly our broadband customer base. Turning to our media assets. Bell Media continued to lead the market in market share and saw growth in the English to French audience here between the ages of 25 and 54, obviously very important from an advertiser perspective. In the important fall season, the top five most watched programs in the country were actually on CTV. It's the first time in 10 years that we have all top five programs and they had over 3 million viewers. We also in the quarter rolled out the new TSN line up expansion of five national feeds and you can see here on the visual the advantage of having the capability such as for U.S. Tennis Open, five different matches at the same time. We extended our distribution agreement with HBO to 2018. And you have begun to hear, we will be launching a new streaming service with HBO content and other Bell Media content. That will be a streaming service but with authentication to TV. We think it is a fast and better way to monetize this investment by leveraging the excellent distribution that the BDUs have in Canada and is a very cost effective way to get all Canadians as quickly as possible. So as you hopefully saw yesterday, TELUS has signed up and agreed to distribute this product. And we anticipate because of the strength of this product, every BDU in the country will have an interest in the distribution of this as we roll it out. It will be a streaming service but with authentication leveraging the strength of the BDUs in the country. Also I want to remind investors, we did finish the divestiture of the Astral assets. We did well on the sale, the 10 times EBITDA multiple and $766 million in proceeds including dividends. Our revenue mix continues to improve as growth services were up $163 million in the quarter or 4.1% year-over-year. As a result of our strong results in the first three quarters, we now expect for the third consecutive year double-digit wireless EBITDA growth and that will lead the industry for the third consecutive year in EBITDA growth. And finally, we expect the combined wireline business of Bell Aliant and Bell Canada to generate positive EBITDA growth going forward through into 2015. With that, let me turn it over to Siim.
Siim Vanaselja: Thanks, George and good morning to everyone on the call. I will begin on Slide 11. The third quarter was a very strong quarter for us with positive trends that I think position us well for the end of the year and for 2015. Service revenue growth at Bell was 2.2% this quarter, that was driven by growth services which increased 3.7% year-over-year. This was led by our wireless segment which saw an acceleration in revenue growth. Wireline residential services also saw a fourth consecutive quarter of positive revenue growth. And Bell Media revenues were stable year-over-year. Bell's consolidated adjusted EBITDA increased 3.4% this quarter with a 60 basis point improvement in margin to 39%. Higher adjusted EBITDA drove 10.7% growth in adjusted EPS to $0.83 per share from $0.75 per share in the third quarter of 2013 and an 11.6% increase in free cash flow which grew to $834 million this quarter. Our statutory EPS for the quarter was $0.77 per share, up $0.33 over last year and that year-over-year increase was due to the charge we recorded in the third quarter last year for CRTC benefits incurred on the Astral acquisition. Lastly and consistent with our plan for the second half of the year, capital spending accelerated this quarter as we rolled out fiber to more homes and businesses. We expanded our Fibe TV reach, increased our wireless LTE network speeds by up to 45% and deployed 4G broadband's mobile services to more rural communities and small towns across Canada. Overall, we believe our performance this quarter puts us in a great position for the fourth quarter and provides a very strong foundation for sustained growth in 2015. I will now turn to some of the financial highlights for each of our operating segments. So starting in our wireless segment. Service revenue growth increased to 7% driven by a greater mix of postpaid subscribers in our customer mix, strong data revenue growth and pricing discipline. Data revenues grew 24% this quarter. This combined with increased smart phone penetration and higher rate plans resulted in 5.9% increase in our blended ARPU, which is our strongest ARPU growth rate in more than seven years. A key highlight of the quarter was wireless adjusted EBITDA which increased 10.9% yielding a revenue flow through to adjusted EBITDA of 70%. Wireless posted a strong 1.6 percentage point improvement in service margin to 46.6%. I think that underscores our disciplined focus on profitable postpaid subscriber acquisition and retention spending. With this performance we have now led the industry in wireless adjusted EBITDA growth in 11 out of the past 12 quarters. Lastly, wireless adjusted EBITDA less CapEx provided a strong contribution to overall free cash flow increasing just under 10%. So as we head into the seasonally important fourth quarter, our wireless momentum remains very strong. Moving to the wireline segment on Slide 13. We have seen steady improvement throughout the course of the year. This quarter we achieved a bit of a milestone, I'd say, in delivering positive overall wireline service revenue growth, positive adjusted EBITDA growth, and as George covered, positive residential RGU growth. Residential wireline revenue growth of 3.4% was fueled by higher ARPU across our consumer services. TV and Internet combined delivered 7.5% high revenues year-over-year while the decline in voice revenues continues to slow with fewer residential NAS line losses over last year. In business wireline, the rate of year-over-year revenue and EBITDA decline in the third quarter was stable compared to the previous quarters. With our improved mix of wireline growth services, wireline adjusted EBITDA increased 1% and adjusted EBITDA margin in wireline improved 60 basis points to bring our wireline margin to 37.8%. The margin improvement also reflects lower year-over-year product sales which are low margin. For the fourth quarter we expect our wireline segment to continue to show year-over-year improvement delivering positive overall revenue and adjusted EBITDA growth. Turning to Slide 14. Bell Media revenues in the third quarter were largely flat year-over-year. Astral is now fully reflected in Bell Media's year-over-year results. Subscriber revenues were down 4.4% on specialty TV rate increases and higher revenue -- sorry, subscriber revenues were up 4.4% and as I was about to say that, was on specialty TV rate increases and higher revenue generated from our new TV Everywhere Go Products. Advertising revenues that were down that were down 3.5% in the quarter as a result of declines in conventional and sports specialty TV. The advertising market remained soft across the industry. Advertising demand in the third quarter was additionally impacted by spending directed to the broadcast of World Cup soccer. I would note that the rate of Bell Media's advertising revenue decline did improve sequentially in the third quarter over the second quarter of 2014, reflecting the strength of CTV's programming lineup for the current season and higher average viewership levels. Bell Media adjusted EBITDA was down 8.5% in the third quarter due to the higher sports broadcast rights costs, again in line with our expectations. And we expect that increased content costs for sports broadcasting and the continued soft advertising market will continue to pressure Bell Media's performance in the fourth quarter. On adjusted EPS on Slide 17, we have provided the key components of that. Adjusted EPS was $0.83 per share this quarter, up 10.7% year-over-year. Higher EBITDA drove $0.06 of EPS growth this quarter. Depreciation and amortization expense for the quarter increased $0.01 over last year on a higher depreciable capital asset base. Net interest expense decreased year-over-year reflecting the early redemption of our Series M20 debentures and a lower overall average cost of debt for Bell. I am pleased to say that with the recent issuance of $1.25 billion in 7-year and 30-year Bell debentures, which we did in the quarter, our average after-tax cost of debt has now decreased to 3.4% with an average term to maturity of about 10 years. We also recognized a mark to market loss totaling $0.02 per share this quarter on equity derivative contracts, resulting from a decrease in BCE's public share price at the end of the quarter. This was offset by a $0.02 foreign exchange gain on currency hedges which we entered into to manage the financial exposure on our U.S. dollar capital expenditures. And lastly, tax adjustments contributed $0.02 of EPS in the quarter. That's the same amount as in the third quarter of 2013 and it resulted in an effective tax rate of 25.5% versus our statutory tax rate of about 26.5% for 2014. And I would say that there is no further tax adjustments that we are anticipating for the fourth quarter. Let's turn to cash flow. Free cash flow generation of $834 million in the quarter was up 11.6% year-over-year again on track with our plan. This reflected adjusted EBITDA growth and an improvement in our working capital position, offset partly by higher planned capital spending as I discussed and increased cash taxes consistent with our guidance assumption. Cash interest payments were lower due, as I mentioned, to the early debt redemption and our lower cost of debt. We ended the quarter with over $1.4 billion of cash on the balance sheet which included the proceeds of our recent debt offering. We continue to maintain significant financial flexibility with access to an additional $3 billion of committed lines of liquidity. As George said, the Bell Aliant privatization was completed at the end of October. You will have seen that on October 20, we initiated a debt exchange offer to the holders of Bell Aliant notes for the exchange of those notes for an equivalent principal amount of new notes which would be issued by Bell Canada. The proposed note exchange is part of BCE's objective to achieve a simplified capital structure and to enhance the administrative efficiency by concentrating all our public debt into Bell as the single issuer. Bell Aliant bondholders meeting are scheduled for November 14 to vote on those note exchange offers. So in closing, we have now seen three quarters of good growth in consolidated financial performance and we are tracking to deliver on all the guidance targets that we have provided for the full 2014 year. There's no fundamental changes in our outlook. We remain competitively well positioned. Our performance momentum is growing in our wireless and wireline segments as we enter the fourth quarter. We expect no impact to 2014 financial guidance from the Bell Aliant privatization. With the full ownership of Bell Aliant as of November 1, BCE's free cash flow will include 100% of Bell Aliant's free cash flow rather than the cash dividends that we would otherwise have received from Bell Aliant. That difference is very nominal. There will be no changes to our segmented reporting for the fourth quarter but starting in the first quarter of 2015 we will begin to reflect Bell Aliant's operating results within our respective wireline and wireless segments, and accordingly Bell Aliant will cease to be a standalone reporting segment of BCE. And we expect Bell Aliant to become accretive to our earnings and free cash flow in 2015 which will support BCE's strategic imperative and our dividend growth model. On Slide 18, you should note that with the Bell Aliant privatization transaction now completed, the non-controlling interest of BCE is expected to be approximately $60 million lower for the full year, reflecting our 100% ownership of Bell Aliant. As well though the average number of outstanding BCE common shares for 2014 will increase to approximately $794 million shares due to the issuance of $61 million new BCE common shares as part of the consideration on the Bell Aliant privatization. Those are really offsetting impacts and as a result our adjusted EPS guidance range for 2014 remains unchanged. So with that I will turn the call back over to Thane and the operator to begin the Q&A part of the call.
Thane Fotopoulos: Okay. Thanks, Siim. So we are ready to begin the Q&A session. So, Wayne, can you just explain the polling instructions to the participants.
Operator: (Operator Instructions) Our first question is from Phillip Huang from Barclays Capital. Please go ahead.
Phillip Huang - Barclays Capital: Good morning, guys and congrats on the solid results. I have -- first question on wireline. So with EBITDA turning the corner this quarter and margin expanding again, what would be a sustainable long-term assumption for wireline margins, particularly as we take the added scale from Bell Aliant into consideration now? And the second question on wireless. Was wondering if you guys could provide us any stats on the percentage of your postpaid subscribers that are now on LTE and whether there are any stats that you might have on data usage for LTE versus non-LTE subscribers? I am just trying to assess the average lift ARPU from the move towards LTE. Thanks.
George Cope: Yes, happy to do that. Let me deal with the LTE first of all. About 40% of our postpaid base is currently on LTE. So that’s the first. In terms of usage, I mentioned we are seeing about a 52% increase in customers who migrate from HSPA to LTE. I think we are seeing about 1.4 gigabits of data per month versus 923 megabits of what we were seeing on HSPA. So you can see the math there. And I think roughly about 35% of the traffic is video on our LTE data traffic. And so what that’s doing is it's driving increased usage. So it's not pricing in Canada that’s moving ARPU, it's obviously the products do more than they did before and that’s what's driving the ARPU. On the wireline side, our margin will expand next year because of the integration of Bell Aliant and Bell wireline business. But what we would probably prefer to do is when we come back to guidance, there will probably be some implied margin in that for you to be able to take a look at. But I don’t want to quote a number in order to [see them] (ph) this morning until we get the two companies together and come back next year with that. But other than to say that, clearly with the synergies and some momentum we are comfortable talking about having positive EBITDA on wireline next year. The range of that number, we will come back to in February.
Phillip Huang - Barclays Capital: Got it. And fair to say that the -- so it sounds like there is potential upside to the $100 million target in terms of synergies to Bell Aliant. Is that fair?
George Cope: There won't be downside to it.
Operator: Thank you. The following question is from Richard Choe from J.P. Morgan. Please go ahead.
Richard Choe - J.P. Morgan: Just a follow up on that question. Are you seeing any significant ARPU pull through when you see the customers go from HSPA to LTE? And then also in terms of service revenue accelerating in the quarter, fourth quarter last year, it looks like it's an easy comp, could we say accelerate through this yea? And what could we expect going forward?
George Cope: Yes. So I want to be a little careful on guidance. We are really, obviously pleased with the quarter. We are clearly seeing by those usage data, assuming that the products are priced equivalent, HSPA, LTE, we are clearly seeing a higher ARPU. Now in fairness of that, as the analysts would know, the early adopters of the newest technology can also sometimes be the heaviest users. So as the entire base migrates, you probably wouldn’t see that pace of growth. But having said that, with the enhanced speed on LTE and the quality of video, which quite frankly is almost unbelievable in terms of the quality you are seeing that people can get, I think we are going to see the increased usage and so we have seen ARPU improve year-over-year. We would expect an improvement again in Q4 over last year's Q4 but we will wait for '15 when we give guidance.
Operator: Thank you. The following question is from Dvai Ghose from Canaccord Genuity. Please go ahead.
Dvai Ghose - Canaccord Genuity: George, lots of positives in the quarter. Let me talk about the one you highlighted, which is a really strong broadband growth. If you look across the board, your broadband net additions were up 39%. Quebecor's were up 31%. Telus is up 16%. Bell Aliant's are up 27%. What is driving all this massive growth because I thought this was a relatively highly penetrated segment?
George Cope: Yes. Dvai, thanks for the comments. A couple of things. Clearly, we are seeing when we pull customers through on Fibe TV, as is our Bell Aliant when they get a customer on their fiber TV product, we get a pull through of Internet. And that’s been the strategy. So from our perspective, I think you will see that we probably move the market share needle in our quarter in all of our regions. I would say the results this morning and the problems in Quebec between ourselves and Videotron, I think does show there must be clearly some strong growth overall. And in the TV business something tells me we may see -- where there is some cord shaving everywhere. There is some cord cutting. Probably much less cord cutting in the province of Quebec, maybe that’s what's driving the combined RGU numbers for the companies. But on the broadband, I think in our case the number should show some market share I think, Dvai.
Dvai Ghose - Canaccord Genuity: Yes. And I was wondering if you have an estimate, because clearly it would appear that you gained market share from Rogers. You know the Quebecor's numbers were strong as you alluded to but the Rogers, I think they were quite flat in terms of their Internet additions. Do you have any market share estimate?
George Cope: No, other than to say that we are as pleased with Quebec results as we are on Ontario. And of course we compete with more than one carrier than those two carriers in footprint, I mean there is a third one as well that we compete with. And this morning's numbers on the two make us feel better about the whole province Quebec, quite frankly, because we probably would have thought with our results it might have been a little different. So clearly there is some additive from household growth going on in the province.
Dvai Ghose - Canaccord Genuity: That's fair. One last one on the same topic, if I may. The CRTC is about to launch its third review of the fall, which is on broadband. Are you expecting anything meaningful there? I mean I find it interesting that some of your cable competitors want cost based access to your wireless networks. Do you think that they will have to offer cost based access to their broadband network?
George Cope: Well, I mean the hearing is coming up. It's a wholesale review on the wireline side. The position on that is in a number of other geographies around the world, when people have taken shareholders [capital] (ph) risk and built fiber right to the home. That network of course has been proprietary for the network company that’s invested the shareholders money in that. So at the hearing the discussion will be whether or not wholesale access to fiber to the home is on the agenda or not. And our position will be very clear that if other people want to build fiber-to-the-home, go right ahead, but we are clearly building our network for our customers and our shareholders and that will be our position. And that’s consistent with the regulatory regime in the U.S. and we are going to look for, hopefully to see that as a consistent regulatory regime in Canada when we build fiber-to-home.
Operator: Thank you. The following question is from Jeff Fan from Scotiabank. Please go ahead.
Jeffrey Fan - Scotiabank: A couple of questions. One on the wireline and, again, follow through on the broadband. George, you mentioned really good attach rates from Fibe TV on to the Internet. I'm just wondering, looking ahead, do you think Fibe TV is really fundamental to pulling through the Fibe Internet or is there a point in time where you think the Fibe Internet service can standalone to still continue to show that kind of share gain? And then the second question is on wireless CapEx intensity. You guys are doing a really good job of really just managing that at 10% CapEx intensity year-to-date. You partner is seeing a bit of a CapEx intensity increase. Part of it may be due to wireless. I'm just wondering, is there anything that you can talk about structurally in the network sharing deal, why your partner is seeing an increase? Is it the relative spectrum contribution you bring to the sharing? Is there anything that you think you're doing differently that can help us understand why that may be different? Thanks.
George Cope: Yes. Okay. Let met answer the second first. I got to back to the (indiscernible). Yes, the first one was on...
Jeffrey Fan - Scotiabank: Broadband potential.
George Cope: Yes. So on the wireless side, I don’t want to comment on a competitors CapEx other than that I would say, our footprint growth that we are building out nationally has got a proportionally higher rural component for 700. Whereas the network we utilize has been ahead on that build because it's done more urban with some different spectrum in order to access for LTE aggregation. So I would expect that to normalize out, is what I expect. And we have normally talked about 10% to 12% capital intensity and our goal next year is to finish all the rural markets as we can with 700. So I would anticipate you might see a bump in ours, although we will keep our overall capital intensity in line with what the Street expects. I can't comment on the other carrier other than that maybe the difference on that one. And I am sorry, the first question was? Yes. And, look, on our strategy, our strategy will be to continue to execute the IPTV footprint to as much of the geography as we can afford to do and then continue to move closer and closer to the home with fiber with significant amount of fiber overlay where we have aerial planned, and continue to execute on that basis. We think the Internet product stand on its own but it's very clear that our TV product is the leader in the marketplace differentiated. What customers expect from an IP application and what the products we are going to roll out on the streaming side combined with it. We are going to continue to compete aggressively for the video and the broadband customer. So we think it continues to be attached.
Operator: Thank you. The following question is from Greg MacDonald from Macquarie Capital. Please go ahead.
Greg MacDonald - Macquarie Capital: So we've seen a number of players in the industry some in the U.S., some in Canada, show weaker industry results for TV advertising on the media side. Your media seems fine on the revenue line, flattish year-over-year. I'm wondering if you could give us a little more detail on whether this is a tale of a stronger TSN relative to the CTV and specialty channels in terms of add trends or is it relatively evenly based? Are you bucking the trend or are you not, I guess, is what I'm trying to get at?
George Cope: Well, we know we are taking share. We know, I think we think a part of it was clearly the strong fall line that we have had on CTV, where for the first time in ten years all top five shows that Canadians are viewing are on our network and the viewership numbers were high. So if Kevin were here with me, he would tell you that the ad market is not an easy market. We are taking market share and the challenge for us in the media business into '15, we think probably is driven more by the content cost that we have seen rise on the sports side. And also for our shareholders on the line and investors, we have made a strategic to invest in the HBO library from a streaming perspective. And that’s a conscious strategic investment we will make which will have an impact on the media businesses EBITDA next year, but absolutely is the right thing to do strategically because it's what Canadians are telling us they want to view and who they want to view. And we want to adjust to that model. So we are making an investment in that content side and that revenue, of course, will take a while to generate. It's one of the reasons we strategically have made the decision to distribute it through the BDUs because of their excellent access to customers and the speed with which we think they can roll out that product effectively in Canada.
Greg MacDonald - Macquarie Capital: Can I ask a quick follow on, George? There is a lot of debate right now on whether we are actually seeing a material shift of ad spending toward digital or not. I can appreciate the share gains that you've made but CTV in particular is a product where you get new product every year, right? Are you seeing that shift in ad spend? Is that a risk for you or do you not consider that a big risk yet?
George Cope: No, we definitely. Digital spend or ad spend shift in our industry, I mean within Bell we have ad spend shift, but it was certainly not material in the quarter but in a business that’s to grow and highly competitive, a point or one point can clearly impact. So that will continue to be a headwind. Our job is to try to monetize digital revenue now in the ad space through our media assets and that’s some of the key things that Kevin Crull, President of Bell Media is focused on, and across the multiple platforms and screens as we go forward.
Operator: Thank you. The following question is from Maher Yaghi from Desjardins. Please go ahead.
Maher Yaghi - Desjardins: Very nice results, guys. Just wanted to ask you, over the last two or three years we've seen TV additions surpass those of Internet additions and that reverted this quarter. I was wondering if there were any one time -- you mentioned the wholesale additions happening, helping you in the quarter on the Internet side. But can you quantify that and discuss a little bit what caused that change in trajectory? Because I always thought that TV is really where the selling point is with Fibe TV and Internet was add-on.
George Cope: Well, yes. You have got to remember we did 62,000 Fibe TV net adds and 50,000 Internet ads. So Fibe still pulled through. But our net TV numbers of course are impacted by the satellite reduction that we are seeing. And the migrations to satellite to our IPTV continue to be about 15% to 18% of our net adds, are coming off of our own satellite business. We are seeing, and we will have more clarity on that when we put Bell and Bell Aliant together, how much of the 14,000 or so IPTV subs that Bell Aliant added in the quarter were migrated from satellite and we will share some of that next year. So that’s why you have seen the difference in the two numbers. But if you kind of just pull out satellite, Fibe TV did outgrow Internet net adds.
Maher Yaghi - Desjardins: And just a follow-up on that. When you look at the success you are having on Internet side with Fibe, do you feel you could be well helped by maybe increasing the penetration or the deployment to fiber? Are there potential to, operationally I mean not financially, but operationally could you deploy fiber faster in your marketplace so that you can garner more of that market share gains that you are having right now, in more areas of your territory?
George Cope: Yes, absolutely. One of the reasons for the consolidation of Bell Aliant and Bell and Karen's -- and the results we have seen, we will talk about it in '15. But investors can expect us to accelerate fiber, the pace of fiber, in our Ontario, Quebec footprints. Particularly we have strong aerial plant, the economics are compelling, and we will do that all within our CapEx window next year with the same consistent C to I that you have seen us run on the last 5-6 years. So we'll get in the guidance but I also want to make sure if I say that we don’t have people going, oh, there is a big capital number next year that isn't in our numbers and it is. But part for that to -- Bell Aliant had finished its fiber build so they are really doing a demand capital expenditure next year based on subscribers. So we can reallocate that capital and deploy in Ontario and Quebec for fiber given that they had matured out on their fiber footprint. So, yes, we think accelerating that. We see it in the recent report where even on the OTT side, the largest OTT provider in the world ranked our broadband network the best in the country and we think that’s driving some market share.
Maher Yaghi - Desjardins: That's helpful. And just one last question on the margins in wireline. You said that beat your expectation on the quarter in terms of growth. Is there any, again, onetime items there that helped on the EBITDA line and how sustainable is that sequentially going into the fourth quarter?
George Cope: Yes. So there was nothing in the quarter that was onetime at all. And as we mentioned in the fourth quarter, we anticipate positive wireline EBITDA growth but also caution investors we have also guided towards our guidance for the year. So that analysts can take our guidance, know we will in that range and know that wireline will be positive. We said we expect wireless for the year to be double-digit and that media will be challenged with the content price increases.
Operator: Thank you. The following question is from Drew McReynolds from RBC Capital Markets. Please go ahead.
Drew McReynolds - RBC Capital Markets: Congrats on a great quarter. Two questions for me, George. First, just with respect to the issue of wireless industry activity, we've seen better net adds from you and Telus this quarter, could be at the expense of Rogers of course. But now we've got the iPhone and a couple of iconic devices back into the market. Just wondering if you are seeing any uptick in industry activity or is it too early just given where we are relative to Christmas? And the second question, big picture with respect to TV Everywhere. We've seen obviously a couple of OTT standalone services be launched. It's great to see your new streaming service to be launched but it sounds like that will be part of TV Everywhere. I'm just wondering if the industry overall is still on the same page with respect to TV Everywhere and in protecting the current TV ecosystem or are we seeing a little bit of splintering in terms of strategy here?
George Cope: Yes. I will let people set strategies, I will come back to that. On the wireless side, I think we do have new handsets for the quarter. I think gross adds for the industry, people on the line know better than I do, but I think on postpaid they were a little better than what we have seen in the previous quarters. And I think part of that is the new handsets. I think we will see some of that. We will have to see in the fourth quarter how it evolves. It's too early yet on the fourth quarter at all to have a feel for that. Activities, you know competitive intensity is always high, so that hasn't slowed at all in the marketplace. So hopefully those new devices will help create some momentum in the fourth quarter but it's too early to tell. And on our new streaming service, it will be available over the top but will be available with authentication because our plan at the moment is not to go around our distribution partners. As I said, there are competitors on one side but they are excellent distributors on another. And we think it's a very quick way to get to the marketplace. The product will be unfolded shortly. People will see a content that we believe Canadians we really want. And what we're learning is, the way people view content is changing and which pipe it's over in the end should be irrelevant. So we're going to leverage the assets that our BDU distributors have and put this product in the marketplace that way. You will have to let other competitors respond to how they are going to pursue the marketplace but we think it's core to what we still want to do. And we're seeing TV growth in our company. Those are big TV numbers between ourselves and Bell Aliant in the quarter. 75,000 TV customers. So across the country, with the right product, Canadians are buying TV services at numbers we have never seen before.
Drew McReynolds - RBC Capital Markets: Okay. Thanks, George. And maybe just a very quick one for Siim. Could you just update us whether you see any issue on the pension solvency just for the backup and bond yields year to date? And just as you look into next year and maybe a better answer or better question for [Gwen] (ph), but as you look at your priority uses of free cash flow, you'll clearly pay down some debt, but just thoughts on an eventual return to a buyback? Any thoughts there? Thanks.
Siim Vanaselja: It's a timely question because we have continued to see interest rates, discount rates decline through the course of this year. I would say that with regard to the Bell Canada defined benefit plans, we continue to be in a very healthy solvency position, over 90%. With the acquisition of Bell Aliant, we also have to consider the valuation position of their plans. Bell Aliant has relied significantly on letters of credit for their funding. We do think that's inefficient so we are giving some consideration to making a further voluntary advance contribution before the end of the year. We haven't made any decision on that. If we do, it would be principally directed, as I said, towards bolstering the valuation of Bell Aliant's plans. And it certainly would not be of the magnitude of the special contributions that we have made in the past to the Bell Canada plans. And then with respect to normal course issuer bid, that's not something that we are contemplating now. As you know with the privatization of Bell Aliant, our leverage ratio is slightly above the top end of the range that we would like to be -- that we would like to see it in. And therefore our focus, at least for the next little while, is going to be towards seeing our leverage ratio coming down. And once that happens we will turn our attention to opportunities for issuer bids again.
Operator: Thank you. The following question is from Tim Casey from BMO. Please go ahead.
Tim Casey - BMO Capital Markets: George, could you talk a little bit about what's going on in the wireless market? There's obviously been leadership changes at your competitors. I guess what I'm asking is, how much of the gains do you think are market driven and how much do you think is reflective of your outperformance? And on your imminent OTT product, do you think of that more as a growth initiative or more of as a defensive initiative to protect your core businesses, including the bundle and your media rights? Thanks.
George Cope: Well, on the OTT side we think it's a customer demand issue. We think customers are asking to view media content in a different way. And we are going to address that with a product that we are absolutely convinced will be, frankly world leading in terms of the type of content that will be available and meet the requirements that Canadians ask. So at the first though, it's an investment in the beginning and if our instincts are right, it's going to be a product that people want from a consumption perspective. Ultimately we're doing it to obviously drive the financials. Strategically though, we think it will enhance the TV product of all the BDUs in the country and also for those who want to stream the product over the top, they will have the capability to do that but with a subscription obviously to a TV overall service, not that’s free. On the wireless side, from our perspective, it's really our focus on distribution and network, the significant improvements we have seen in our service metrics on the wireless side and the cost. And so it's a competitive game and from our perspective, we just continue to drive our own execution and let other people's results speak for themselves.
Operator: Thank you. The following question is from Glen Campbell from Bank of America Merrill Lynch. Please go ahead.
Glen Campbell - Bank of America Merrill Lynch: I wanted to revisit the two big positives on the quarter in terms of operating metrics, the strength in wireless, particularly the data, and then the broadband connection. So on the wireless, George, I'm thinking about customers who are getting LTE handsets. They may be asked to step-up to a new plan with a bigger bucket. They might be going on to shared plans. Both of which would give them more data to use. And they've now got a better network to use video. As you look at your customer base, do you think it's just demand driven in terms of, let's say, the ability is video? Or can we attribute some of this growth to the fact that these customers with LTE devices are probably on plans that make it essentially zero incremental cost beyond their bucket? Do you have a sense of what's driving it there?
George Cope: Yes. Well, use is number one, without a doubt. Because the stats are -- we just revealed them this morning in terms of the differences we are seeing and I'm assuming the other carriers in Canada are seeing that. Secondly, I don't want to dismiss the movement from the three to two-year contract, of course had an impact. And having to recover some of that impact of subsidizing the phone over two years instead of over three years because the subsidy amount stayed the same. And so as a result, there certainly have been more pricing discipline in our organization around making sure, as customers upgrade to shorter-term contracts, we got to recover that subsidy in 24 months instead of 36. So clearly that's part of it as well in the marketplace. But when we look at it, the proportion of it is the usage. And then finally, if you look at our strategy the last six or seven years, there was a time not many years ago where we were not getting necessarily the leading customer base because our handset lineup and network wasn't where it is today. And we think we are now competing head-to-head with the other competitors head-on and customers are choosing, who are heavy users, to migrate back to Bell and that's having an impact on our usage as well.
Glen Campbell - Bank of America Merrill Lynch: Okay, thanks. And then those very strong broadband net adds. Are you seeing a shift in terms of the demand, so that you are now getting traction in the small business segment? In other words, is some of the strength here because of stronger net adds there or is this almost entirely coming on the residential side?
George Cope: I would say, our SMB business has been stable this year but this is clearly being driven by the Fibe TV pull through.
Operator: Thank you. The following question is from Vince Valentini from TD Securities. Please go ahead.
Vince Valentini - TD Securities: Sticking with the wireless ARPU which obviously is very impressive, can you talk about how many of the customers have switched over to the two-year plans that may have seen a bit of a rate bump? Or alternatively, how many of your customers are still on three-year plans?
George Cope: I just don't have it at our fingertips. It's probably somewhere between 35% and 45%, would have converted to the two-year plan. But that's a really rough number and Thane is certainly happy to have a conversation with you after. It's just not a number that's at our fingertips.
Vince Valentini - TD Securities: No problem.
George Cope: But clearly that's part of what's driving it as well. And I think geography focus for us, as you know we were stronger historically in the province of Québec and also on the East Coast and the Bell Alliant footprint. And people know we have been trying to execute better in Western Canada and there are some strong economics there is people know. And probably there is a little bit of share that we are clearly moving the needle against one of our larger competitors and that's helping.
Vince Valentini - TD Securities: You just preempted by part b question there, George. Maybe I'll elaborate a little bit on it. So you've been talking about that indexing of your customer base for some time and how you weaken -- you had more prepaid a few years ago. You had maybe less exposure in the corporate market and certainly the regional disparity. Your ARPU now is ahead of Rogers. The gap with Telus is pretty narrow now. Do you think that sort of re-indexing has largely played out or do you still think there's more catch up for Bell?
George Cope: More catch up to do. We continue to work at, particularly as I said, outside of Québec we are finding highly competitive marketplace. East Coast, we are fine, but that’s where we had strong market share. And so our focus for us to move the market share needle, that has to be almost exactly the opposite of probably what some of our other competitors are trying to do against us. It just happens to be proportionately the higher ARPU markets are the ones where we need to proportionately focus more. And we continue to. It's not dramatic moves but as analysts would know, if you move that just slightly it does help on the accretion of ARPU.
Thane Fotopoulos: We have time for one quick last question.
Operator: Thank you. The last question is from Rob Goff from Euro Pacific. Please go ahead.
Rob Goff - Euro Pacific: It would be a further question on the wireless. Could you talk to the adoption and your view of big bucket shared data plans on wireless? What that is doing for yourself in the marketplace?
George Cope: You know, Rob, I apologize, I don't really have something at my fingertips on that. I know in the marketplace -- and we have had to be competitive with that particularly as people start to move towards some of the shared plans. But I apologize, I don't have a lot of color I can give you on that top off the head.
Rob Goff - Euro Pacific: Okay. Thanks, George. And perhaps, if I may then, are tablets becoming a bit of a factor in Canada, catching up to the U.S.?
George Cope: Very small still. There are some small installment plans that you are seeing in Canada and I think we are all trying to figure out, okay, can we make that happen, Migrate some additional usage with the LTE pads. So there is a little bit in the marketplace but clearly not at the scale of something what we are seeing out of the U.S.
Thane Fotopoulos: Okay. So, great. Thank you so much this morning for your participation. I will be available for any follow-ups and clarifications throughout the day. So thanks again. Have a great day.
Operator: Thank you. That concludes today's conference call. Please disconnect your lines at this time and we thank you for your participation.